Operator: [Operator Instructions] Our first call will come from Bryan Kraft with Deutsche Bank. Please go ahead.
Bryan Kraft: Hi, good morning. Thanks. I have a question on broadcast revenue. In the earnings release, you attributed a decline in broadcast revenue to having one more race in 2018 versus 2017. In order for the per race revenue to be down year-over-year that would mean, I think total of 2018 broadcast revenue growth is going to be less than 5%, I guess, I just want to see if that conclusion is correct, or if there’s some other cause of the broadcast revenue decline that maybe wasn’t mentioned in the press release? Thanks.
Greg Maffei: Chase, you want to take that or you want us to track?
Chase Carey: I guess it’s a little bit in the weed and the percentages. So I’m not sure the math, I mean it is 21 versus 20 dynamic that factors into what gets recognized, but I guess if the math works out the way, the math works out, I don’t – I think essentially broadcast revenue is recognized largely across races. We have won more races this year. So it was 120, last year it’s 121 this year, and I think the math works out, what the math works out.
Greg Maffei: I guess I’d also note these contracts are lumpy, so overall we do have some increases coming some of them take a while to kick in.
Bryan Kraft: Is that, I mean Greg that and Chase to follow-up there, I mean are you saying that over the course of the season some of the renewals in 2018 will kick in and therefore we’re not necessarily seeing a full per race run rate in the first quarter?
Chase Carey: No, I think the lumpiness would be more annual than within – we mostly renew contracts every year for the start of the season. So I think the lumpiness is more when are the annuals – as you’re trying to extrapolate annual increases, the lumpiness comes more from when our contracts being renewed year-to-year and not within a year.
Greg Maffei: Right. But as you know, Bryan, we’re not here to give guidance on that. Thank you.
Bryan Kraft: Understood. Okay, thanks.
Operator: Thank you. Our next question will come from Vijay Jayant with Evercore. Please go ahead.
Vijay Jayant: Thanks. For Chase, obviously you are going through these negotiations for the 2021 Season, can you just help us understand I mean with all these various facets to these agreements, will all come up together, or will they’d be the World Motorsports Counsel, when we’ll on the specification versus teams economics and the like? Just trying to understand when will we have more sort of clarity on that. And if you could help us on how TV viewership for Formula 1 was through 1Q given the new feature, it would be very helpful. Thank you.
Chase Carey: Sure. Yes, in terms about the timing of these discussions with the teams, I guess in general, we’d like to do sooner rather than later, I’m not going to give up deadline some aspects of it actually really won’t have an effect till 2021 – it doesn’t mean we won’t – I think we – for planning purposes for everybody’s sake, I think we’d look up obviously get it done much earlier. Their aspects of it that realistically have to be resolved much earlier, I guess outside the engine, the new engine that’s being one in particular just the lead, maybe R&D and the work in developing an engine really means that sort of neat stuff. Beyond of course mid-year, these things are somewhat interrelated though, yes, clearly not all completely interrelated, but I think we have this as a priority. Our goal is to move forward as quickly as possible. We’re engaged with all the teams both as a group and individually because it’s difficult when you have too many at a room sometimes the conversation get circular. But I think we’re actually making good progress on it, and certainly plan to try and address things as quickly as possible. But it may not have everything addressed in one big – with one big ball wrapped around it because as I said, there are things that probably have longer lead times than others. So I think for the sake of planning and looking to the future, we’ve looked up get things resolved in the short-term not the long-term. TV viewership in the first four races is down a touch – down mid-single digits, it’s really driven – the down is driven by two factors, really two countries; Italy, where we’ve moved platforms from probably being more free to a bit more – to more paddy. So that’s probably had the biggest impact and Brazil is a country that with Felipe Massa racing, so he was our Brazilian driver, has it impacted and leadership there. As for the majority of the countries – country, if I take the top 20 countries, the majority of those are up, but the impact in those two markets brings it sort of down mid-single digits.
Vijay Jayant: All right, thanks so much.
Operator: Thank you. Our next question will come from David Karnovsky with JPMorgan. Please go ahead.
David Karnovsky: Thank you. Just a follow-up to that last question, Chase, can you just talk about what type of response you received from many fan research you’ve done or just also the sponsor partners typically fresh TV product that you put out?
Chase Carey: It’s actually great. I mean, you’re never going to get 100%, people get used to things they’ve had for years. And so, I think we recognized it’ll always be a degree of a mixed bag. But overall, the response to the wide range, I’ve just read an article an hour ago on the graphics packages, and some researchers came back really positive on that, it sort of particularly I guess it was on the newest feature where we’ve put them some data on top of the halo. But the general reaction to things I was talking about whether it’s the graphics, the sound, the camera angles, the reaction to – the season in general has been for us really encouraging. I think we feel good about the reception and the response we’re getting, they are from fans and most of the research that we are doing.
David Karnovsky: Okay. And then, just regarding the potential Miami Grand Prix. Given you’ve been working with the new race promoters or anything different about this partnership that you strive to structure relative to some of your legacy deals? Thanks.
Greg Maffei: So, every deal is unique, and you know, this deal is not going I mean realistically – we’re not – this is not a done deal yet, we obviously have some steps to go through, yes, but each deal is unique, and I think we knew going into the U.S. market, which is sort of more like a developed market, they’re going to have – we’re going to have unique aspects to it. But that would be true for other agreements we have in other places. I mean, everybody assumes these deals sort of a one-note song, and realistically, there are always a lot of moving parts around sponsorships and hospitality, and other components that go into it, different economics, industry races, the track. So, they are unique, but not it actually has the structure that we think is one that gives us a really exciting race focus, fan proposition, and a business proposition. We think this really – we believe it’s going to happen and we hope it’s going to happen. We think this race could probably be a real signature race for us on the schedule.
David Karnovsky: Thank you.
Operator: Thank you. We will now move to Barton Crockett with B. Riley FBR. Please go ahead with your question.
Zack Silver: Hey, guys, this is Zack Silver on for Barton. Thank you for taking the question. I have one for Chase and one for Gregg. For Chase, on F1 passing through, some of Ferrari’s commentary, it seems like you guys are making some good progress on the negotiations with them. Can you just give us a little bit more color on what you’re seeing, what you’re agreeing with the teams and kind of what is still a roadblock? And then, for Gregg, if you could provide us with an update on your discussions for acquiring of 40% stake in iHeart, I know there is something that you’re still exploring or is off the table for now and then, if you could provide any updates on the rationale for that investment, and if you have any new learnings, that would be great. Thank you.
Chase Carey: I guess on the discussions, I don’t want to say too much. I mean, I guess we’ve – I’ve said, in general in the past, I think these types of discussions, negotiations, what you want to call it, are best held in private and described – done in private, not done in public, and explained when you get through it, I think the sport, for recent years has been under-served by trying to negotiate things too often in public and posture things in public. So, I don’t want to get into the weeds. Just what I would say is, realistically, I think we have broad based agreements on the basic – I think everybody agrees on sort of the basic goals and the basic structures. I think the discussions therefore become more that compromise us in the specifics, as you go through it, as opposed to broad philosophical direction. So I think we – I think there’s agreement on the philosophical direction that we’re putting forth. But clearly there are differing views as you get into the specifics that are involved in any one of those components.
Zack Silver: That’s great. Thank you.
Greg Maffei: And on iHeart, I think process is evolving as they go through their Chapter 11 proceedings. Creditors are gaining an understanding of what they’re proposing to buy. I think at some point, they are going to re-engage with us, and if the price is attractive, as I said, we would be interested. And the rationale for that is there are both – I think some opportunities around radio and still having terrestrial radio that are synergistic to some of the assets that we have including Sirius and Sirius’ investment in Pandora. I think there are both synergies on the revenue side and on the cost side potentially. And iHeart is an attractive free cash flow generator. At the right price in combination with those other factors, I think it will be additive to our music holdings.
Zack Silver: Great. Thank you very much guys.
Operator: Thank you. John Tinker with Gabelli has our next question. Please go ahead.
John Tinker: Hi, thank you. Just changing companies a minute, the Atlanta Braves. Could you just give some idea as to what you might get from the sale of the residences? And are you thinking about selling more assets? And also, I know it’s a very small state, but you still actually have a piece of BAMTec. Is there any value there or is it so small, it doesn’t matter?
Mark Carleton: Well, I think on the – this is Mark Carleton on the residential side, we are going through a process and we certainly haven’t gotten to the point that process, where we’re talking about ranges of dollars, but certainly the areas, the ranges we’ve discussed are pretty accretive. And I think in general, as we look at those projects down at the Battery, to the extent that we think it makes most sense to sell those off to our partners or others. We’ll certainly look at those if it’s logical and accretive to us. And so far, we’re performing well above I think what our projections have been on lease up, and on revenue, and on activity down there. So it’s going very well. But obviously, being able to maintain the look and feel of SunTrust Park and the entire Battery and the experience for the fans is key. But we will – we’ll be opportunistic as some of these projects get closer to completion and get fully online.
Greg Maffei: If I can just add a little, we think the Battery combined with the Braves is a unique live experience. Our strength comes from developing interesting opportunities around that including residential, including office, including the live nation music center, that music environment we have there, all of those things. But we don’t really necessarily see ourselves as long-term holders of real estate assets. We see ourselves as people developing interesting opportunities.
John Tinker: On the BAMTec, Disney seems to be spending a lot of money, and I think there’s still on a small piece at the back end.
Greg Maffei: Yeah. I think that’s really being driven at the board level of MLB and we are curtailing that. We did receive, as you know, capital already from that. I think we are very happy with the price that Disney paid us for that asset, and we are enthusiastic to receive the back end, but I don’t think it’s been disclosed how much the value of that is going to be yet.
Chase Carey: Correct.
John Tinker: Thank you.
Chase Carey: Thank you.
Operator: Thank you. Our next question will come from Brandon Ross with BTIG. Please go ahead.
Brandon Ross: Hi. Thanks for taking the questions. Two: first, NASCAR appears to be for sale, just curious Greg and Chase to get your thoughts on that asset, and then on the Liberty Sirius discount. You bought back what a $100 million over the last three months, but the spread continues to widen. What’s the path from here? How do you think you can affect change in that spread? And I guess, related, if Siri was willing to do in the RMT, would you be open to that at this point, or do you see an eventual GCI-type transaction there? Just like to know your thoughts. Thanks.
Greg Maffei: Chase, you want to go first on NASCAR?
Chase Carey: Yeah. Like I guess first and foremost, I’m focused on priority one, for our Sirius, really getting Formula One to where we think it can and should be over the next couple of years. So, we’re not trying to put blinders on, but I think we have – I feel we have an opportunity to really take this business to another level and if that is what’s driving it, and NASCAR is a fairly different franchise for us. If you look at the fan base, the regionalization of it is in the U.S., not really even broad-based to U.S., U.S. sport – I don’t – I think people – we both raced cars. I’m not sure beyond that. There is a lot that sort of would really make it a natural fit for us. It would certainly give a scale in the U.S., and we could use that scale to build. But I think there are probably more differences than similarities in that and I think for us. our priority is really making Formula One everything it can be, and focusing on things that would really strengthen Formula One in a unique way. Liberty may have a different perspective. They acquire more businesses than we do. I said I’m only worrying about one business, which is Formula One, and I think there are limits to which degree that fits in a way that would really make one plus one is three, it’s probably – my take on it, although again, the guys in Denver, look at more businesses than we do, so they may have a different view.
Greg Maffei: But we are largely integrated with Chase, I think it’s not as clear what the synergies are between the two assets and I would know, the trends have not been perfect at NASCAR unless we had a good thesis on how and why we could fix them. It’s not an obvious to us. On the second point about the discount, we’re taking advantage of that I know we bought back stock, I would expect that we will buy back more stock and we will continue to take advantage of the market once we give us out of the discount. Is there a GCI transaction or RMT out there maybe, but I don’t see that as – there is a silver bullet in any – there is – we do think that we think are logical instead and if the market wants to give us the stock at discount, we’re going to continue to buy it back and take advantage of it, you may know that Siri bought less back of their own and we bought more back here. It speaks to something about what is the combination of their stock price in our discount. So, we’ll see.
Brandon Ross: Thank you.
Operator: Thank you. Our final question today will come from Jason Bazinet with Citi. Please go ahead, sir.
Jason Bazinet: Just had a question for Mr. Maffei. I’m asking you a question that’s really one that I should be able to answer, but I can’t. Do you have a hypothesis in terms of why the sort of customary Liberty Siri discount became uncustomary this year?
Greg Maffei: I think – Jason, thank you. We talked about some of this in the past relating general of the supply where there’s now currently a far larger market cap at Liberty Sirius and there is a Sirius. Sirius has a been a far larger consumer of its own stock than we have of Liberty Sirius. My understanding is that there have been a number of other RF-type situations, where hedge funds have not had success and have had to blow out their positions including potentially this one, which may have widened the spread. the fear that we might utilize Liberty Sirius XM currency to overpay for and dilute ourselves by purchasing SXM stock. All of those I think are potentially factors you could point to and why it has widened is probably the number three. Yeah, there’s – I think when – somebody else pointed out, there is no borrow on the shares, which is another thing exacerbating some of the internal mechanics around why people are not borrowing that discount. But as I’ve noticed, we’ll – Jason, great people want to give us that stock at a discount. We are likely to continue to take advantage of it and we have been sometimes clever in finding way to take advantage of it in better ways like the GCI transaction.
Jason Bazinet: Do you think the potential purchase of iHeart as part of it, another is going from a tracker discount to tracker plus complexity pro forma?
Greg Maffei: Yeah. That’s a decent thesis, I think you should – that wouldn’t be just with us. I think however that ends up; it’s not like we’re going to do an iHeart transaction apart from Siri. We bought the debt, because that’s something we do probably with more efficiency and more regularity than Siri. But all of our actions there are fully coordinated with Sirius; it would not be like we’re going to do this thing on a standalone basis.
Jason Bazinet: Thank you very much.
Operator: That’s the last question for the day. Thank you all for joining us. We look forward to speaking with you next quarter, if not sooner.
Chase Carey: All right. Take care.
Greg Maffei: Thanks, Chase.
Operator: Thank you. That will conclude today’s event. Thank you all once again for your participation, and have a wonderful day. You may now disconnect.